Operator: Welcome to Uniti Group's fourth quarter 2018 conference call. My name is Jimmy and I will be your operator for today. A webcast of this call will be available on the company's Web site www.uniti.com, beginning March 20, 2019 and will remain available for 14 days. At this time, all participants are in a listen only mode. Participants on the call will have the opportunity to ask questions following the company's prepared remarks. The company would like to remind you that today's remarks include forward-looking statements and actual results can differ materially from those projected in these statements. The factors that could cause actual results to differ are discussed in the company's filings with the SEC. The company's remarks this afternoon will reference slides posted on its Web site, and you are encouraged to refer to those materials during this call. Discussions during the call will also include certain financial measures that were not prepared in accordance with generally accepted accounting principles, reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the company's current report on Form 8-K dated today. I'd now like to turn the call over to Uniti Group's Chief Executive Officer, Kenny Gunderman. Please go ahead Mr. Gunderman.
Kenny Gunderman: Thank you. Good afternoon, everyone and thank you for joining. Before I review our operational performance for the quarter, I'd like to reflect on current industry trends and company milestones that we achieved in 2018. Just like last year demand for fiber infrastructure continued to be one of the top telecoms themes in 2018 and going into 2019. The preparation for a broader rollout of 5G wireless and fixed wireless services, our wireless carrier customers are looking to densify their networks with both additional macro towers, as well as small cell nodes. As the consumption increases and new technologies continue to evolve and develop, the need for low latency dense fiber will continue to increase. This densification will require tremendous amount of fiber, and we believe that both Uniti Fiber and Uniti Leasing are uniquely positioned to capture this demand with over 5 million strand miles of available owned fiber. At Uniti Fiber, we completed three dark fiber projects in 2018, and are currently in the process of completing the build out of several more dark fiber small cell projects, primarily in the southeast by the end of this year. In fact, we deployed our 1000th small cell during the fourth quarter. We currently have approximately 1,700 small cells in our backlog and expect to deploy over 1,350 in 2019. As we complete these projects, we will focus on leasing them up, not only with additional wireless opportunities but enterprise, E-Rate and government opportunities, all of which have attractive economics and incremental yields. We continue to see positive momentum in our tower business. In the U.S. we continue to expect to build between 200 and 300 towers on average annually over the next five years. With the backdrop of 5G densification, national wireless carriers continue to look for vendor diversity on new tower builds. Recently, AT&T announced that Uniti Towers is a strategic tower provider for them and look forward to fostering and expanding this relationship with AT&T for years to come. AT&T also acknowledged Unity as a bundled infrastructure provider, including small cells, fiber and towers. We believe this comprehensive product suite distinguishes Unity in the marketplace, principally with the wireless carriers and with centric international MSOs contemplating wireless strategies. At Uniti Leasing, we announced four transactions in 2018 entering into sale-leaseback with TPX and CableSouth, acquiring fiber assets for Century Link and entering into a Dark Fiber lease for the national MSOs. We’ve been successful so far in leasing up these assets and expect similar opportunities to be abundant in 2019. We also recently announced our first strategic OpCo-PropCo transaction with Macquarie Infrastructure Partners in acquiring fiber assets of Bluebird Network. We believe this deal structure can be replicated with other operating partners, and provides the framework for future similarly structured transactions. Together, these announced transactions represent an incremental $45 million of annual revenue with 90% plus EBITDA margins, and little to no additional CapEx required. With the offering of full suite of services across Unity Fiber, Unity Towers and Unity leasing, we have the potential to further unlock significant value for our company. We currently have consolidated revenue remaining under contract with nearly $10 billion. And if you exclude revenue relating to the wind stream, lease our total revenue under contract grow over 45% from the prior year. It is important to note that over 90% of our revenue remaining under contract relates to leasing, towers, dark fiber and small cells, which have little to no churn associated with them and provide highly visible, steady cash flows over the next several quarters. Let me now provide an update on our operational results. Unity fiber sales bookings in the fourth quarter were approximately 0.5 million of MRR consistent with the prior quarter; 40% of sales bookings in the fourth quarter came from local enterprises, government and K-12 schools; 37% from the four national wireless carriers; and 23% from wholesale. We continue to see strong wireless momentum as the rollout of 5G services continues to ramp. RFP activity for both small sell and back haul from wireless carriers remains healthy in our markets, and we continue to see increased demand from non-wireless customers as well. For example, in the fourth quarter we were awarded 20 year contract from a national wireless carrier to build dark fiber to over 160 back haul sites located primarily in the Southeast, which represents approximately $1 million annual recurring revenue with an initial yield of approximately 15%. We also signed a contract during the quarter for approximately 80 small cell nodes that are being deployed for enhanced coverage, including for first responders in the Florida Panhandle. Combined, both of these deals add over $23 million of total contracted revenue to our backlog. Our e-rate season has also did start as we expect to retain most of our existing business, and we've already won a handful of new deals as well. In fact, we were verbally awarded a 10-year contract with a large Metropolitan school District in Florida that will add over 118,000 MRR, representing total contract value of 14 million. We’re already seeing benefits from our ITS acquisition as we have won a handful of deals that our ITS and Uniti sales teams partnered on. We’re actively pursuing several deals including some larger scale ones and we will have more comprehensive update on our e-rate season during our next earnings call. Uniti Fiber installed 0.6 million of MRR during the fourth quarter 2018 with 18% related to bandwidth upgrades and 30% relating to dark fiber backhaul and small sales projects. Installs were negatively impacted in the quarter by recovery efforts related to hurricane Michael. Excluding the impact of hurricane, installs would have been 0.9 million in the fourth quarter of '18, an increases of 0.2 million from the prior quarter and consistent with last year's fourth quarter activity level. As we enter 2019, we continue to see solid improvement in dark fiber small cell sites, and this works closely with our customers and municipalities to complete these builds. We still expect the vast majority of our existing dark fiber and small cell construction projects will be completed by the end of 2019. Total churn for the quarter, excluding intercompany churn related to the ITS transaction was 0.5 million, resulting in a monthly churn rate of 0.8% in line with the prior year's fourth quarter. For full year 2018, our monthly churn was 1%. We continue to make steady progress in Uniti Fiber as we work through most of the headwinds we outlined in prior quarters. We will remain committed to our strategy of focusing on tier 2 and tier 3 markets with both attractive economics and competitive dynamics. Turning to towers. We completed 78 new towers in U.S. during the quarter. We also added three towers in Mexico and our total tower count in the U.S. and Latin America combined now stands at 928 towers. In the U.S., we expect to complete construction on approximately 200 towers in 2019. Lease up activity on our tower portfolio in the U.S. continues to ramp. Excluding towers acquired from Windstream and Non, our current tenancy ratio in the U.S. is at 1.1 times. We look to continue to engage our wireless customers after furthering our existing relationships as they continue to look to diversify their existing vendor relationships. In Uniti Leasing, we continue to see strong interest and additional opportunities, including additional lease up new sale-leasebacks and OpCo-PropCo structures. We remain actively engaged in leasing additional routes with customers across our entire footprint, including the largest content providers, MSOs and wireless carriers in the industry. In fact, we signed an MOA with a national wireless customer in the fourth quarter on a 20 year term to lease long haul fiber, representing a total contract value of over $5 million. Based on our conversations with customers regarding fiber portfolio acquisitions and new fiber builds in areas where we expect future demand is coming. With less than a year of development work, our current Uniti leasing sales funnel continues to represent approximately 18 million of annual revenue and over 350 million of contract value. With that, I will now turn the call over to Mark.
Mark Wallace: Thanks, Ken and good afternoon everyone. We reported strong fourth quarter results with all of our business units demonstrating solid momentum going into this year. Industry trends remain favorable as the multiyear investment cycle and communication infrastructure remains healthy. As the only diversified fiber centric REIT, Uniti is well positioned to provide a differentiated value proposition as we offer a full suite of products and services across all three of our distinct business units. I'll start with a brief overview of 2018 this afternoon, but want to devote most of my comments to our outlook this year as we have the opportunity to achieve several significant milestones. Turning to Slide 5, we reported consolidated revenues of $271 million, consolidated adjusted EBITDA of $210 million, AFFO attributable to common shares of $116 million and AFFO per diluted common share of $0.64. Net income attributable to common share for the quarter after transaction and integration related cost was $12.3 million or $0.05 per diluted share. Net income for the quarter included $5.4 million of transaction related costs, partially offset by approximately $3 million of income from changes in the fair value of contingent consideration. Moving to our leasing segment, 2018 and thus far in 2019, Uniti Leasing signed transactions that collectively play out will add over $45 million of annualized revenue. These transactions range in size from $30 million-$170 million with cumulative capital deployed expected to be over $320 million. That capital will earn attractive initial cash yields averaging over 10%. As important, each of these transactions has been structured with multiple growth drivers that have the potential to drive returns higher over the contractual lease term. Uniti Leasing represents a growing proprietary business strategy within communication infrastructure to position fiber networks for the most productive use. Overtime, we may well allocate more capital towards Uniti Leasing than any other business unit, given the attractive economics, substantial opportunity set and interest we have seen in future OpCo-PropCo transactions. For the fourth quarter of last year, our leasing segment revenues were just over $178 million with adjusted EBITDA of just under $178 million. Non-Windstream revenues and adjusted EBITDA were $4.3 million and $4 million respectively and should continue to represent a growing share of Uniti Leasing's revenues over the next several years. As previously announced, we completed the sale leaseback and fiber acquisition of CableSouth Media. And the impact of that transaction is included in our results from its closing date on October 9th to year-end. Windstream made nearly $30 million of improvements during the quarter to our network with their capital, bringing the cumulative amount since our spinoff to over $600 million of tenant capital improvements. While Uniti Leasing essentially represents passive ownership and leasing of fiber on a nationwide basis, Uniti Fiber represents an operating platform with design, construction and operations across multiple fiber solution products and customer channels. As such, Uniti Fiber is focused regionally in less competitive tier 2 and tier 3 markets where we can build a dominant presence and take advantage of scale with a deep dense network footprint. Uniti Fiber revenues $85 million and adjusted EBITDA of $36 million represented adjusted EBITDA margins of 42.8% for the quarter, which were slightly ahead of our expectations. These results include the acquisition of Information Transport Services or ITS which closed on October 19th for a purchase price of $54 million. As you will recall, ITS is a full-service provider of technology solutions to educational institutions. The results of ITS post closing added approximately $9 million revenue and $1.7 million of adjusted EBITDA in the quarter. Fourth quarter results for Uniti Fiber were favorably impacted by about $3 million of non-recurring or infrequent accrual adjustments, primarily relating to the successful settlement of bill and disputes, as well as franchise taxes and property tax reserves established during our initial purchase price allocations where the statute of limitations has expired or for which actual expenses were lower than anticipated once the state filings were completed. The fourth quarter also included $1.2 million of revenue and $1.1 million of adjusted EBITDA for a title sell of fiber to an Air Force base. Uniti Fiber's fourth quarter results reflect no net cost related to hurricane Michael as we currently expect our insurance to cover substantially all of these costs. We continue to make progress on our dark fiber and small cell projects as we turned over 159 dark fiber and 196 small cell sites, adding annualized revenues of $2 million during the quarter. At the end of 2018, we had seven major dark fiber projects and seven small cell projects under development. Uniti Fiber net success-based CapEx was $55.8 million. Of which approximately 30% was directed towards our major dark fiber and small cell development projects. We also incurred $3.4 million of integration CapEx during the quarter, which is principally related to our off net savings initiatives. Maintenance CapEx for the quarter was $2.5 million or about 3% of revenues. Uniti Towers reported revenues of $4.5 million and adjusted EBITDA of $0.8 million for the fourth quarter. In the U.S., we completed construction of 78 towers during the fourth quarter and 209 towers for the full year 2018. In Latin America, we completed three towers during the fourth quarter and added 58 towers during the full year 2018, including the acquisition of 39 NMS development towers. CapEx was $26.6 million for the quarter. At year-end, Uniti Towers had 430 completed towers in the U.S., 498 completed towers in Latin America and approximately 320 towers in various stages of development in the U.S. During the fourth quarter, we issued an aggregate 2.3 million shares of common stock off of our at-the-market program, or ATM program at prices ranging from $19.45 to $20.15 per share. That brings total shares issued under our ATM program during 2018 to $5.5 million shares at average prices ranging from $19.45 to $21.04 per share. As I've mentioned on our last call, we funded approximately $500 million of acquisitions on our line of credit, as well as organic growth CapEx in 2018. Accordingly, the ATM proceeds were used to repay outstanding amounts under our revolver and to manage our leverage within previously established target levels. Please turn to Slide 6 I will now cover our 2019 guidance. Our outlook excludes any future acquisitions, capital market transactions and future transaction and integration cost, except those specifically identified in our comments or presentations today. Our current outlook assumes Windstream continues to make timely payments on all rent under our master lease. The expected sale of our Latin American tower business is included in our guidance based on the anticipated close date of April 1, 2019 for gross proceeds of approximately $100 million. The acquisition of the Bluebird fiber network, sell of our Unity fiber Midwest operations to Macquarie and the concurrent lease of the Bluebird and Midwest fiber networks to Macquarie are included in our outlook based on the anticipated close date of October 1st. Our outlook is subject to adjustments based on the events are rising during Windstream's reorganization proceedings, the timing and closing of acquisitions, any future capital market transactions, market conditions, finalization of purchase price allocations related to acquisitions and other factors. Actual results could differ materially from these forward-looking statements. Our current full-year outlook for 2019 includes the following for each segment, starting with Unity fiber. At the midpoint, we expect Uniti Fiber to contribute $337 million of revenue and $128 million of adjusted EBITDA in 2019, including the contribution of ITS of approximately $49 million of revenues and $9 million of adjusted EBITDA. At the midpoint of our outlook range, our revenue guidance represents and as reported growth rate of about 17% over full year 2018 levels and 5% over 2018 adjusted levels. Our annualized 4Q '18 to annualized 4Q '19 core organic revenue growth rate is expected to be approximately 6.5%, excluding the impact of the ITS acquisition. Excluding the non-recurring and infrequent items mentioned earlier, normalize 4Q '18 annualized core organic growth is expected to be 10%. Adjusted EBITDA margin should be about 38% for the full year at the midpoint, excluding the impact of ITS, for which margins average about 18%, Uniti Fiber's adjusted EBITDA margin should be about 42% for the full year. During 2019, we expect to make investments at Uniti Fiber and personnel to grow our bookings, accelerate install rates and improve other cycle times, as well as internalize some outsourced services and enhance our sales supported delivery functions. Accordingly, Uniti Fiber's outlook include the addition of about 150 personnel by the end of 2019. We expect the cash cost of the increase in headcount in 2019 to be about $10 million with the adjusted EBITDA impact net of capitalized labor of approximately $6 million. Excluding the impact of ITS, we expect adjusted EBITDA margins to be lower in early 2019 than the average for the full year and then improve to approximately 44% by the fourth quarter and start fiber sites turnover, install rates accelerate and we realize off net or net savings. Turning to Slide 7, we expect to achieve 10% growth of MRR in core revenues this year excluding ITS. We expect to install approximately $51 million annualized MRR during the year, including $17 million for dark fiber and small cell connections, $30 million for lit services and $4 million for bandwidth upgrades. Monthly churn for 2019 is forecast to average 0.8% compared to 1% in 2018. This connect churn is expected to be frontloaded in the first quarter of the year due to anticipated timing of the [indiscernible] in Atlanta led backhaul disconnects. Net success based CapEx for Uniti Fiber in 2019 should be about $125 million at the midpoint. Of which, about 45% will be directed towards dark fiber and small cell projects. Of the seven dark fiber projects and seven small cell projects currently under construction, we expect all of these to be completed by year-end except two dark fiber projects and one small cell project that will finish by the end of 2020. Upon completion, these 14 projects are projected to consume $57 million in net capital in 2019 and $24 million in 2020, will add annualized incremental revenues of about $20 million, add approximately 100,000 fiber strand miles and will bring 1,380 small cells on-air. We expect Uniti Fiber's net success-based capital intensity to decrease to 42% in 2019 and then trend towards the mid 30% range thereafter. We also expect integration and maintenance CapEx for 2019 of $9 million and $7 million, respectively. As you know, one of the most attractive characteristics of Uniti Fiber's business is long-term customer contracts that provide good line of sight to revenues. Uniti Fiber entered 2019 with $1.4 billion in revenues under contract, up 3% from the end of 2017, including $440 million of backlog expected to be activated over the next three years. 48% of revenues under contract and 75% of our backlog are for dark fiber and future small cell deployment with wireless carriers as the anchor tenants. Turning now to Uniti Leasing on Slide 8. We expect Uniti Leasing 2019 revenues and adjusted EBITDA to be $722 million and $760 million respectively, at the midpoint. Non-Windstream related revenues in 2019 is expected to be $27 million, including the expected closing of Bluebird on October 1st of this year, which will add approximately $5 million of revenue and adjusted EBITDA post close. Based on this outlook, as reported non-Windstream revenues will be up nearly 350% or $20.5 million over 2018. Windstream cash revenue of approximately $659 million this year reflects the 1.5% escalator effective May 2019. Of the $21 million of incremental non-Windstream revenues in 2019 compared to as reported revenues in 2018, about $16 million is from three transactions completed last year, mainly TPX, CableSouth and Century Link and $5 million for Bluebird. On Slide 19, you will see a summary of the additional Uniti Leasing transactions we've announced to-date. Combined these deals represent over $845 million of revenue under contract and over 600,000 fiber strand miles of leasable fiber, of which there were approximately 285,000 fiber strand miles Uniti has exclusive use of. As I mentioned earlier, these deals have attractive economics with a combined initial cash yield of over 10% with the potential for higher cumulative yields through additional lease up over the life of the contract terms, which generally range from 15 to 25 years. Turning to Slide 10, as previously announced, we have signed an agreement to sell our Latin American tower business for approximately $100 million to Phoenix Towers. We expect that transaction to close on or around April 1, 2019 and have included the Latin America results in our 2019 guidance only up to that estimated closing date. Last year, the Latin American business contributed $9.4 million in revenues and $2.7 million of adjusted EBITDA. For 2019, we expect towers revenues to be about $15 million with reported adjusted EBITDA of about $0.5 million as we continue to invest in building our U.S. tower business. In the U.S., we expect Uniti Towers to complete the construction of about 200 towers this year with capital expenditure forecast to range from $60 million to $70 million that will result in Uniti Towers having approximately 620 completed towers in the U.S. at year end. Turning to Slide 11, for 2019, we expect full year AFFO to range between $2.23 to $2.29 per diluted share with a midpoint of $2.26 per diluted share. On a consolidated basis, we expect revenues to be nearly $1.1 billion and adjusted EBITDA to be $823 million at the midpoint. Our guidance contemplates consolidated interest expense for the full year of $372 million to $376 million with the increase primarily related to the higher interest rate on our term loans moving from LIBOR plus 300 to LIBOR 500 as a result of the recently executed credit agreement amendment. Weighted-average common shares outstanding for the full year 2019 are expected to be approximately 183 million shares. We expect our consumer CLEC business revenues to be approximately $10 million to $11 million with average adjusted EBITDA margins of 20% consistent with prior trends. Corporate SG&A, excluding amounts allocated to business segments, should be approximately $30 million, including $6 million of stock-based compensation expense. As a reminder, guidance ranges for key component of our outlook are included in the appendix to our presentation. On Slide 12, we have provided a tabular reconciliation from our 2018 results to our 2019 guidance, which summarizes some of my comments this afternoon. Solid organic growth from all of our business segments, the full-year impact of ITS and incorporation with M2 and Bluebird transactions into our forecast are expected to contribute $0.12 of AFFO per share to our 2019 outlook. Majority of the dilutive impact relates to the increased interest rate on our term loans, higher average debt levels and issuance of shares under our ATM program. Turning now to our balance sheet. At quarter end, we had approximately $150 million of combined restricted cash and cash equivalents and under our capacity under our revolving credit agreement. Our leverage ratio under our debt agreements at year-end stood at 5.9 times based on net debt to annualized adjusted EBITDA, and that level continues to be our intermediate target range subject to periodic fluctuations. On March 19, 2019, our board declared a dividend of $0.05 per share to stockholders of record on April 1st payable to stockholders on April 15th, representing an annualized dividend yield of approximately 2% based on recent trading levels. The declared dividend is substantially less than the amount permitted under our recent credit agreement amendment. For tax year 2019, dividends attributable to our capital stock are allowed to be approximately $180 million, including the dividend paid in January this year. Over the next four quarters, such dividends are allowed to be just under $70 million or about $0.37 per common share under our credit agreement. Assuming the full $0.37 is declared by our board for the 2019 tax year that amount would represent an annualized yield over the next four quarters of about 3.8% based on recent trading levels. We expect our board will reconsider our dividend policy as key developments in Windstream's reorganization occur, such as lease acceptance and/or Windstrem's emergence for bankruptcy proceedings. With that I'll turn the call back over to Kenny.
Kenny Gunderman: Thanks Mark. I'll now cover more details of our Latin America tower portfolio. We've agreed to sell our tower portfolio on Latin America to PTF or approximately $100 million or 37.5 times 2018 adjusted EBITDA. The portfolio consists of approximately 500 towers located across Mexico, Columbia and Nicaragua. We believe this transaction realizes significant value for our shareholders as it represents an unlevered IRR of approximately 27% over a three year time period, as well as an economic gain of over $20 million. This transaction also allows Uniti to focus more on communications infrastructure growth opportunities in the U.S. as building towers continues to be a significant part of our overall strategy to provide a full suite of solutions to wireless carriers, as well as other customers. The transaction is subject to customary closing conditions and is expected to close by April 1, 2019. The communications infrastructure M&A environment remains very robust. Uniti is uniquely positioned to participate as both a buyer and a seller with very valuable assets, as well as with our proprietary tool kit, including OpCo/PropCo structures on both new and existing assets. We believe this flexibility will not only provide value enhancing liquidity alternatives, but also allows us to remain active with our diversification efforts during the duration of Windstream's bankruptcy proceedings. I would now like to discuss the recent events related to Windstream. As most of you are aware, Windstream recently received an unfavorable court ruling related to its various lawsuits. As a reminder, Uniti was not a party to this litigation and the validity of our master lease agreement was not challenged in the court ruling. Subsequently, on February 25th, Windstream commenced voluntary restructuring proceedings under Chapter 11 of the U.S. bankruptcy code. Obviously, we’re disappointed by this outcome that we've been contingency planning with our board and advisors for this possibility for some time. For example as I've said for numerous quarters now, we've been focusing on smaller M&A transactions in order to minimize our capital markets exposure given the volatility in our securities. And as a result of several other steps we're taking, we believe we now have the ability to navigate the Windstream bankruptcy proceedings without having to raise external capital and still be able to invest uninterrupted in our premier fiber, tower and leasing business, including potentially pursuing smaller M&A transactions. We're confident that Windstream will successfully restructure its balance sheet and remain focused on operating its business in normal course in the mean time. It is in all parties' interest to minimize disruption in service to customers, and we’re pleased that Windstream has chosen to remain current with all critical vendors including Uniti. Our network leased to Windstream is vitally important to Windstream, and we fully expect our commercial relationship to remain in place during and after bankruptcy. Also, as Uniti and Windstream have been saying for almost two years now, we remain open to pursuing mutually beneficial transactions between the two companies that could be credit enhancing for Windstream and value accretive to Uniti. The volatility in our stock price since the court's ruling and subsequent bankruptcy filings are largely related to an impression that our relationship with Windstream will be impaired to the detriment of our stockholders. We disagree with this impression. In fact, we believe that our relationship could be strengthened to both companies' benefit. At the conclusion of the bankruptcy proceedings, we're optimistic that Windstream will not only be a stronger tenant, which will be beneficial to Uniti but we believe our commercial relationship could be enhanced. In the meantime and in the face of the volatility of our securities, we're choosing to invest our discretionary capital into growing our fiber, tower and leasing businesses and continuing to pursue value accretive M&A. At this unique moment and time in Uniti's history, we believe this decision will result in better long-term returns for our stockholders. Operator, we now ready to take questions.
Operator: Thank you [Operator Instructions]. Our first question comes from Frank Wilton with Raymond James, your line is now open.
Frank Wilton: So on the dividend -- I assume the new $180 million that you talked about inclusive of $110 million that's paid that is down a bit from because of the incremental 200 basis points in the term loan, so that’s the run rate. And I apologize that sound broke up a little bit when you're going through that. Are you going to make up -- the current run rate doesn't quite hit that. So are you going to make that up at year-end?
Kenny Gunderman: We would expect to, yes.
Frank Wilton: And what decision process for paying any kind that you alluded to in the 10-K. How should we think about that?
Mark Wallace: So right now, Frank, we expect to pay the dividends all in cash. And that's what the guidance we gave includes cash payments in all dividends.
Frank Wilton: And then just one last question. What is your current cash position as of today, and have you paid the upfront fees to the creditors and would that be inclusive of net of that?
Mark Wallace: We have paid the upfront amendment fees to everybody, that's already been paid, yes. Our cash position, is that your question?
Frank Wilton: Yes.
Mark Wallace: So I think I said at the end of the year, we had about $150 million. Our cash position today is about a $120 million today. And just to extrapolate on what our plan is for this year. So the liquidity with what we outlined in guidance, the liquidity for our company built throughout the year so it continues to build during each quarter until we get to the date that we are expected to close the Bluebird in October. And in October, the Bluebird transaction is expected to consume about $170 million upon closing the liquidity builds until that point. The Bluebird transaction we currently expect to fund entirely with cash on hand. So, we have no plans this year in the guidance that we gave to access the debt capital markets. We have no plans to issue equity during the year at these depressed levels. And as I indicated earlier, we do expect to pay a dividend during the year.
Operator: Thank you.
Operator: Thank you. Our next question comes from Phil Cusick with JPMorgan. Your line is now open.
Phil Cusick: Given the restrictions, and I’m not willing to use equity. Kenny, how do you think about the pace of getting to the diversity away from Windstream? What should we think about this over the next year?
Kenny Gunderman: Obviously, I think we’re going to be slowed over the next several quarters. We are going to be continuing to focus on smaller transactions similar to what we've done in the past and certainly continue to grow our business organically. But until we see less volatility in our securities and just general cost of capital, we are likely to not be pursuing larger transactions, including some of the ones that we've been talking about, because as we mentioned last year and before when we were talking about the 50% target, we characterized it as a target but not a mandate. And so, given where the cost of capital is, I think it's fair to expect the pace of diversification will be slower until we have more clarity on the acceptance. And at the same time, Phil, we are remaining very engaged with the M&A market there we’re having conversations and we don't expect this to be a long-term situation by any means, we expect it to be temporary. So we don’t want to disengage from the M&A market.
Phil Cusick: Well, that’s a leasing to a different question. Is there a risk and what would be the argument be at this point, or Windstream bond holders are trying to come after you and collapse the whole structure? How do you address that with potential partners as you talk to them to maintain momentum through this process?
Kenny Gunderman: I don’t think that’s realistic. I think from what we -- well, let me first say. We've been -- contingency planning for all scenarios for the past year, so two years. And I would be hard pressed to come up with a scenario we haven’t thought about and frankly have a strategy for, including what you just mentioned. But what I would say is we find that extremely unlikely and what we have found so far in the process, the bankruptcy process, is basically what we would expect, which is that all parties, including Windstream from what we hear from creditors, regulators is that there is a very strong focus on maintaining operations, no disruption of service, continue to provide service to customers and meet the regulatory obligations, which is a rational point of view that’s what all parties should be focused on. And we think that’s going to continue throughout the process. And so when we engage with our customers and our vendors and our potential M&A counter parties and we talk about the facts related to the bankruptcy and what’s really going on, I think folks are reassured about the ultimate outcome, it's less a question of uncertainty at that point and more just a question of timing.
Phil Cusick: And you seem really constructive on the potential outcome and the partnership with Winstream being strengthened on the other side of this. But do you anticipate some re-characterization of the lease and the payments being substantially different than they are today, or is your base case that we go from the current payment structure and then maybe assets and payments change, but only on differences in the asset mix?
Kenny Gunderman: So Phil, it's probably closer to the latter than the formal for sure, but let me try to eliminate more. And I think in a nutshell what I would say is our view hasn’t changed from what it was before the filing, or before the Aurelius ruling, or a year ago or two year ago. And what I mean by that is we have always said that our network that we're leasing to Windstream is mission-critical, is mission-critical to their business. And the lease arrangement between the two of us is a master lease and is structured exclusively to anticipate a bankruptcy as a downsize scenario. And in that scenario, it has to be accepted or rejected in its entirety. We can't be forced to negotiate. And we've always said that we believe a scenario of rejection of the lease is remote, because of the significance of the network to their business. We've also said that we would be open to, Uniti would be open to mutually beneficial negotiations to enhance lease to benefit consensual negotiations. So you can take that as a backdrop, we still believe all of those things today. And when you consider the significance of the network to the operations of Windstream to the cash flow generation capability, to satisfy creditors, to the regulatory obligations, we just don't see a risk of rejection of the lease. And we do think that there are some opportunities to enhance it and those opportunities are similar to what we've talked about in the past, nothing new there. Your point about some of the -- what we would characterize as more frivolous claims of re-characterization or fraudulent conveyance and other things, we've heard of those types of claims over the past couple years or so. And as you would expect, we have a point of view on those and believe they are not grounded in strong basis. We believe we'd have a strong defense against any of those, and don't believe they would ever be successful. And so ultimately, we believe that the lease will be accepted in its current form, or accepted in some form that is changed to a mutually beneficial way and a mutually beneficial way for Uniti and for Windstream.
Phil Cusick: One more if I can, just you seem optimistic in terms of the timing of working to the Windstream bankruptcy and moving back to a normal way. What's your best guess in terms of how long this takes?
Kenny Gunderman: Phil, I would love to tell you what I really think, but probably should. I would tell you that we’re optimistic. One of the things that we've observed in the early stages of the proceedings is that all parties seem to want to move quickly through this and that again makes sense, avoid as much disruption as possible. So, we want to do what we can to help facilitate that. And there are some important dates, I think we've put those in our slide materials related to the lease and acceptance of the lease and extensions, which you can look at those but those are sometime over the next couple of quarters. So we think by third, fourth quarter, there should be more clarity on where we all stand.
Operator: Thank you. Our next question comes from David Barden with Bank of America. Your line is now open.
Kenny Gunderman: David, we can't hear you if you're speaking…
Operator: Our next question comes from Matt Niknam with Deutsche Bank. Your line is now open.
Matt Niknam: Just two if I could, one, is we think about the discretionary CapEx. Mark or Kenny, if you could just refresh us on how you're thinking about this? You mentioned there's a couple of fiber projects left into 2020. I was just wondering where we could see that go beyond 2019. And then on leverage, any parameters we should be thinking about in terms of where leverage can go this year, particularly as you think about more limited amount of M&A in the interim. Where you'd like leverage to be? Thanks.
Mark Wallace: So leverage this year, beginning of the year, the end of the year the guidance that we gave, I would say forecast leverage to be neutral from beginning of the year to the end of the year. So no change in our 5.9 times target, net target that I gave out earlier.
Kenny Gunderman: And Matt on your question about discretionary CapEx, we are not cutting back on CapEx throughout the course of the year. We're continuing to invest at similar pace finishing up the projects, the large projects that we have. As Mark mentioned and as we've been saying, once those projects begin to taper off, CapEx will naturally come down into 2020. So we won't get into specifics. But it should naturally come down as a percentage of revenue. But importantly, we're not cutting back on CapEx this year as a result of the proceedings, and plan to continue investing at similar pace.
Mark Wallace: Matt, just to add to that. I think I said in my prepared remarks in 2020, we think capital intensity at Uniti Fiber will come down to the mid 30 range.
Operator: Thank you. And our next question comes from Bora Lee with RBC Capital Markets. Your line is now open.
Bora Lee: The presentation mentions that the lease must be assumed or rejected by June 25th. Can you layout the timeline of other milestones we should be looking at for past that point assuming an acceptance of the master lease?
Kenny Gunderman: I'm glad you pointed out that day and this ties back Phil to your question. So I think that's the date that's in the lease with respect to the first milestone for acceptance or rejection. There's been a 90 day extension beyond that that gets into September. So we don't know whether we'll hit the June state or not. We actually -- well, we don't know. So it could be extended until September.
Bora Lee: And second one if I could. When you acquired Hunt Telecom, you mentioned opportunity to apply your learnings from Hunt to other parts of your network on the e-rate side. Can you provide an update on progress you’ve made with this effort?
Kenny Gunderman: We made some comments in our script related to our e-rate progress. And if you remember back, it’s a business that was largely focused on E-Rate, and so the parts of that business that we were most excited about spreading across the broader footprint was that e-rate business and there learnings. And in our first e-rate season, we didn’t really have a chance to do that, because the deal closed really closed in the summer and we just didn’t have enough lead time to really rebrand the business and really institute all those best practices, and we said that at the time. But we did say that this e-rate season would be different, because we'd have more lead times and we'd have more time to get out in front of schools, both existing schools and new ones to explain our new business and so far and you can refer back to our comments in the script. So far we've been very, very pleased with that and we will have a better update on that once e-rate season is over, and that will be -- we'll be able to report on that at our next earnings call. But we've been very pleased with the progress so far.
Operator: Thank you. And I’m showing no further questions in the queue at this time. I would like to turn the call back to Kenny Gunderman, CEO for any closing remarks.
Kenny Gunderman: Thank you. I would like to especially thank our loyal employees and customers. Uniti has a strong base of higher value assets in operations, as well as the ability to continue investing in our businesses during this temporary period of volatility. We appreciate your interest in Uniti Group and look forward to updating you further on future calls. Thank you for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude your program, and you may all disconnect. Everyone, have a great day.